Luis Maroto: Good afternoon and welcome to our first quarter results presentation. Thank you for joining us today. So if I'm joined by Till. I will focus on our most important developments in the quarter and Till will elaborate on the key financial aspects. So let's just start. We just like four for an overview of our results. In the first quarter of 2022, our performance continued to advance towards recovery levels. As you can see, our quarterly revenue to BDA on adjusted profit reached 65%, 50%, 28% of 2019 levels respectively. They continue to strengthening of our performance was supported by progress in global traffic and travel volumes.  The beginning of the quarter, Omicron is slightly slowed us down. However, through February and March, volumes quickly recover diving our best quarterly performance in recent times, which you will see our performance improved across our segments. On our distribution, revenues amounted to 56% of quarter 1 '19 levels driven by our bookings evolution supported by industry recovery and a strong market share gains. In our IT solutions, our revenue reached 74% of '19 supported by year traffic evolution. And in hospitality and other solutions, our revenue reached 85% of the same year supported as well by industries recovery and continued customer growth across our broad portfolio of solutions in hospitality.  Revenue progress supported to meet our generational of almost €300 million in the quarter. [Indiscernible] we'll elaborate on the details later. Allowing us to have a free cash flow of €125 million or €143 million, excluding implementation cost paid in the quarter. This is pertaining to our cost saving plan completed last year. Our free cash flow in the quarter compared to the last quarter of last year that are working capital outflow cost by our volumes, seasonality. In the first quarter, we continue to see R&D pickup relative to last year, to support new customer implementation projects and to advance in our investment plan.  We are focused on investing for the future [Indiscernible] outfronts. To name a few, we are above being our hospitality platform, investing in NDC, into [Indiscernible] merchandising, offering our cloud accelerates, and also our co-innovation partners with Microsoft. Our [Indiscernible] customer in improving supported by the strengthening of our cash flow generation and closes the quarter at 3.4 times last 12 months EBITDA. To finish, I will recap of how we are seeing things overall. I'm pleased, setting aside the geopolitical and macroeconomic scenarios we have because we don't know what affect this may have on travel in the coming quarters.  We have seen good momentum in the quarter. Solid restriction have been lifted. We are seeing volume improvement across our businesses and regions. Our best-performing region is clearly North America. [Indiscernible] remains our slowest region, but it will support our gross growth as it continues to recover. In March we saw a strong recovery in international traffic regarding corporate travel, the weight of our bookings through the TMC tunnel got very close to 2019 levels in March and April. Very positive commentary from the U.S. and European airlines and hotels chains these past weeks on corporate travel, growing as well.  For our hospitality business intelligence solution Demand360, we see hospitality group business in the U.S. in June 2022, exceeding the levels of the same month in 2019. This is an extremely positive indicator of people's confidence to meet again. Everything is moving in the right direction and it translates into our financial performance becoming more and more robust with growing revenue on stronger EBITDA and free cash flow generation. Please now turn to Slide 5 for an overview of the three reported segments. I will begin with an update on our distribution. In the first quarter of the year, we signed 21 new distinguishing contracts of renewals of agreements with airlines.  We also expanded our partnership on the travel agency side with, for example, travel advice on [Indiscernible] and we became ATPI's primary global technology partner. As part of our ongoing partners with Microsoft through innovating travel in March, we were pleased to announce Cytric EC. Cytric our self booking tool and expense management tool for corporations has been embedded in Microsoft 365. Users will be able to plan trips and set travel details without leaving Microsoft Outlook Calendar of Teams.  Many outlets international signed for this functionality in the quarter. In relation to our bookings evolution, bookings in the first quarter went up 3% to 6% of 2019 levels, progressing almost 6 points from the fourth quarter of last year with progress happening across regions. Monthly volume performance improved as we advance in the quarter and in the month of March, so volumes were 33% lower than in 2019. And in April, volumes further improved to minus 29 versus '19. Our bookings evolution in the quarter of minus 44% was supported by industry recovery and it's from market share gains.  The GDS industry continued to improve quarter-in-quarter growing minus 48.4% versus the first quarter of '19. And regional and country mix continues to restore market set evolution. Not without understanding these, Amadeus had this strong market share performance, gaining share globally. And in most regions, particularly North America, our best-performing region in the quarter. Slide 6 for -- 6 for air -- Airline IT. We have several new PSS customer wins this quarter. ITA Airways, the Italian flexi carrier contracted for the full Altea PSS suite and a broader scope of solutions.  Altea NDC, Amadeus Digital Experience Suite, as well as revenue management, dynamic pricing, merchandising, data management, and passenger servicing solutions. Iraq Airways also contracted for the full Althea PSS suite. Allegiant Air, a U.S. local scariot, contracted for our newest case PSS. On [Indiscernible] a new India local scariot outline created to top on the growing long-term prospects for domestic travel in India. To recap on our last year PSS wins, and as recently we estimated together Haiti Airways, Allegiant Air, Hawaiian Airlines [Indiscernible]. Aggregate 60 million passengers boarded annually.  This is broadly estimated on an up pre -pandemic basis. We are [Indiscernible] disclose how their customer winning 20 -- in 20, which on the same basis will bring 40 million PB. We arrive and at an estimated contracted, but not implemented, a 100 million PB. Again, amounts corresponding to pre -pandemic levels. Settling to all upsetting activity in the quarter [Indiscernible] ways Philippines, and Garuda contracted additional solutions and capabilities from our Airline IT portfolio, such as Slovenia accounting and revenue management.  We also recently announced the acquisition of Camber and Arbiter partner, which is a startup specialize in revenue management solution for air flights. In airport IT, we continued to expand our customer base in the quarter with additional, such as [Indiscernible] airport [Indiscernible] international and Ontario international airports, among others. With regards to our volumes performance in the first-quarter. [Indiscernible] reached 61% of 2019 levels. As you can see, more PB's has strengthened through the quarter.  And into quarter two, eight PB's had further advanced reaching minus 30% versus '19. Several regions saw lots improvements in performance quarter-over-quarter, most notably in North America. This has been our first region to report positive quarterly PB growth versus pre-Covid levels. Our North America PB positive growth was [Indiscernible] the recovery in air traffic in the region and also our airline migrations most not importantly, that over Canada, which migrated at the end of '19. Please turn to Slide 7 for an update on our Hospitality segment.  In the first quarter, we continue to expand our customer base in hospitality, we note new customer signings for our business intelligence, sales and event management and media solutions. The hospitality industry continued to strengthening through the quarter with global hotel occupany rates in February and March, very close to pre -pandemic levels. Furthermore, looking at the occupancies in the coming months, April, May, and June, all are ahead of the same month in 2021, providing continued optimism for increasing traveler's confidence.  Hospitality advances it's performance, 10 points [Indiscernible] to prior quarter, reaching 85% of 2019 revenues coming close to full recovery. It has been our best-performing segment for some time. It is less exposed with traffic and hustle so many [Indiscernible] from a higher weight of non-transaction based revenues. Hospitality business will generate some [Indiscernible] of these segments revenues sold a steady progress in its performance supported by strong revenue growth rates across these revenue lines. With this, I will now pass on to Till for further details on our financial performance.
Till Streichert: Thank you, Luis. Hello, everyone. Please turn to Slide nine for an overview of our revenue in the periods. In the First Quarter, our group revenue was 34.8% below 2019, advancing from prior quarter, driven by stronger growth rates across all segments. In Air Distribution, revenue in the quarter was 44.1% below 2019. This revenue performance was primarily driven by the bookings evolution Luis described and by a distribution revenue per booking 0.8% lower than in 2019. The lower revenue per booking in 2022 versus 2019 was due to the higher weight of local bookings produced by the higher weight of domestic travel we still have now.  And a higher booking cancellation provision versus 2019, which also move with the bookings inventory and has increased with volume growth. These negative effects I've mentioned were also partly offset in the quarter by positive effects, including, firstly, revenues not linked to bookings evolution performing better than bookings revenue. For example, revenues from solutions provided to travel agencies and to corporations. And secondly the usual various pricing impact which may come from yearly price adjustments, incremental deals, renewals, and others.  It is not easy to foresee how all of these parts may move in 2022, but we reasonably expect the dynamics I've mentioned to largely persist over the next few quarters. And for the resulting revenue per booking is generally to behave along these lines. That is, to range between a bit higher or a bit lower than the revenue per booking we had in 2019. With regards to AIT, revenue in the quarter was 25.9% below 2019. This result was driven by the PB volume evolution, coupled with a 22.5% higher revenue per B relative to 2019.  The higher revenue per PB is caused mainly by a proportion of AIT revenues that is either not linked to PB or does not flex with PB in the current environment, such as, for example, services or airport IT, which reported much stronger growth rates in the quarter than the PB and the PB linked revenues. Over the coming quarters, as traffic continues to recover, we will likely see the revenue per PB trending downwards towards the pre-Covid levels. There are positive effects as well that will typically support the evolution of revenue per PB, such as up selling, inflation, and other pricing impacts.  Regarding hospitality and other solutions, revenue in the first quarter was 15.2% below 2019. For hospitality, the quarter-on-quarter performance improvement versus 2019, was seen across its revenue lines as described by Luis. And within hospitality, hospitality IT had stronger CRS and sales and event management revenue growth, media and distribution was driven by improving hotel and car booking growth rates, and Business Intelligence also strengthened, driven by new customer implementations.  Please now turn to Slide ten for a review of EBITDA -- of our EBITDA evolution in the quarter versus the same quarter in 2019 as we've done with volumes and revenue. In the first quarter of 2022, our EBITDA amounted to €296 million, 50.3% lower than in 2019, resulting from, firstly, the revenue evolution explained before. Secondly, lower cost of revenue than in 2019, by 43.1%, linked to the booking volumes evolution. And thirdly, a 7.6% decrease in our combined personnel and other operating expense cost line compared to 2019. To review our fixed cost evolution, we were focused on the change relative to 2021.  Please remember, we completed our cost optimization program last year and rough, there are no more associated implementation costs in the P&L in 2022. But we continue to remove these from the 2021 P&L for comparison purposes. Our P&L fixed costs in the first quarter of 2022 compared to the same quarter last year were 13.5% higher in line with our plans and expectations. This cost evolution resulted from an increase in R&D investment, as Luis mentioned. And in discretionary spend like travel and training spend among others, driven by the business expansion relative to prior year. Costs have also been impacted by negative FX effect. Taking together this quarter's P&L fixed costs and CapEx, we had a 13.4% increase over prior year, which we estimate at 10.9% excluding FX, in line with the 10% to 14% fixed cost growth range expectations we have for the year. Please note this cost growth range is a excluding FX as the U.S. dollar has appreciated considerably this prior year. And this has this assets and could continue to have a negative impact on our cost evolution versus 2021 on a reported basis. This is more than compensated at EBITDA level, as FX is also positive on revenues versus 2021.  For the second quarter, we are expecting the P&L fixed cost and CapEx growth to step up from Q1, driven by the salary increases, which take place in Q2. This is as planned and we reiterate our cost growth expectation for the year. I would like to add also that in Q2, we will benefit from a one-time positive effect, related to a government grand, which will lower our fixed costs and increase our EBITDA and free cash flow by approximately €50 million. Below EBITDA in Q1 2022 compared to 2021, D&A expense decreased by 3.5% mainly due to lower depreciation expense linked to a reduction in hardware and our data center in Erding.  Net financial expense increased by €6 million despite the reduction in interest expense from a lower average gross debt over the period, mostly due to higher exchange losses. The income tax rate in the quarter was 24% lower than in 2021, impacted by a reduction in income tax rate in France and non-recurring adjustments. Supported by the EBITDA evolution, adjusted profit amounted to €95 million in the first quarter of 2022. And this marks now the third consecutive quarter of positive adjusted profit generation. Please turn to page 11 to review our cash flow evolution. I will start with CapEx.  In the first quarter of 2022, our CapEx increased by €40 million or 13% compared to the same quarter in 2021, driven by higher capitalized R&D investment. R&D investment grew by 19.1% in the quarter versus 2021. CapEx was €30 million lower this quarter than previous quarter, mainly due to the office investments carried out and implementation CapEx from our cost optimization program during the last quarter of 2021. With regards to free cash flow, excluding cost saving program implementation costs paid in the quarter, we generated an amount of €143 million. We will still have some cash outs this year related to our cost optimization program completed last year. But the amounts outstanding going forward are very small.  Our free cash flow in Q1 benefited from expanding EBITDA compared to prior quarter and the lower CapEx amount, but it also had a cash outflow from change in working capital. The change in working capital outflow was largely driven by timing differences in collections and payments versus revenues and costs impacted by the quarterly, seasonality in our volumes. For the next quarter, please note, we also expect to cash outflow from working capital, as we typically have in the second quarter, due to our annual personnel-related payments. And with this, we've now finished the presentation and we are ready to take any questions you may have.
Operator: Ladies and gentlemen, the Q&A session starts now. [Operator Instructions] Thank you. The first question comes from Adam Wood, from Morgan Stanley. Please go ahead.
Adam Wood: Hi, good afternoon and thanks for taking the question. Good to see such as strong start to the year, so congratulations on that. I've got two peas. The first one is around market share. I think this is the first time for a little while that you've alluded to market share gains and talked about strong market share gains despite the negative regional mix. If I just compare you to the main competitor back to 2019, it looks on the aside as if it's been about an 8 point market share shift. I wonder if whether you could talk first of all, is that the kind of order of magnitude that you're seeing in the market? And is there anyone else in the GDF landscape that you'd see taking market share, as well as, you versus that main competitor? That was the first one.  And then maybe secondly just on the cost plan. And I wonder if you could give us just a little bit of a feel for the discussions that you have with your customers in terms of the projects they want to do, the demand that started to come back. You've obviously been cutting projects due to COVID over the last couple of years. Do you feel that scope of cost plan enables you to meet the demands that started to come in from customers and satisfy the R&D demands that are happening? Or is it a potential for you to look at that as we go through the course of this year and accelerate the cost growth because you see a stronger revenue growth and stronger potential in future years? Thank you.
Luis Maroto: Hi, Adam. And thanks for your questions. I mean, with regards to market share, we're not giving a specific numbers because -- I mean it's quite subjective, everything related to the mix effects. You can help mix effects today, is till per country, per region. And this is why -- I mean, we can see that -- and it's subjective to really provide a specific figures. But I mean, you can see evolution from '19, and you have also seen how the GDSs doing compared to how we're doing. What I can tell you is that, yes, we feel we have strong market share gains. And again, it depends how you can see the still the region mix compared to 2019.  But when we analyze individual regions and individual markets, we're pleased with evolution. And that's why we had reported that overall, no matter what, we are having good commercial traction's. But again, we know the respect to what competitors are doing and maybe in the future. With regards to the second time, our costs increase guests, of course, is related to the fact that we see opportunities, but also the fact that we have signed a number of customers. And we have alluded to them. Airline IT, there is a lot of implementations ongoing.  It was part of our original plan and original range. We already guided you about how we sold this year. So we would consider in already some of these opportunities with customers. Of course, I mean, let's see how things evolve in the coming months. There will be a point where we will see, we keep signing. But clearly, there is an opportunity today. I mean, the whole industry is thinking about recovery. I mean, with regards to COVID, I have already alluded to that in my presentation some things had evolved in a positive way.  Of course, we should not be isolated from the economy and [Indiscernible] environment that may impact the recovery. But from the pandemic, we feel that there is optimism in the industry and therefore there are opportunities for us to keep increasing signing customers and therefore investing the areas that we consider will provide us an opportunity. Both in terms of getting these customers on board and migrating them into our system, or investing in areas that can provide with further opportunities. So definitely the answer is yes, there are opportunities in the market and we will invest accordingly into that. However, I'll still explain, we are keeping our guidance that we provided you at the beginning of the year.
Adam Wood: Perfect. That's very helpful. Thank you.
Operator: Thank you. The next question comes from Kathinka De Kuyper from JPMorgan. Please go ahead.
Kathinka De Kuyper: Thank you so much for taking my question. And also congratulations on a good start to the year. So two for me, Q1 you mentioned your performance depends on the global air traffic evolution with IATA back then forecasting minus 40% versus 2019 in October. It seems that your volumes are a little bit ahead of that. So can you comment on the visibility you have into the remainder of the year? Are bookings coming through further advance? And then a lot of airlines and airports are struggling with staff shortages and we see flights getting canceled. Is that affecting your business? And then secondly, on the hospitality, can you comment on the pipeline you are seeing for your CRS and PMS solutions, and can you give an update on the Marriott deal, please? Thank you.
Till Streichert: So lets start with the volume question. Just on this one. So IATA actually issued in the -- just I think about since the beginning of March actually, they issued an updated forecast where they introduce -- where they were referring to passengers boarder to our passengers basically, origin destination and they called out the minus 17% for 2022 in terms of growth expectations. So previously IATA had been talking about RPKs. And if you basically translate that back, it's probably approximately minus 30% compared to 2019 from an RPK level.  So if you now put us into perspective, IATA had already updated their forecast and improved it compared to what has been there last year. We are weak compared to this. I think we are quite pleased with the volumes where we are. So therefore, you know what we see in terms of AIT solutions, passengers boarded minus 30% in April. And equally close to that minus 29% of bookings in April is putting us on a good trajectory. And again, we are hopeful. We're seeing very positive signals and signs in the market. But of course there's also some macro economic or macro geopolitical uncertainty. And we need to watch that.
Luis Maroto: Just to clarify, the latest [Indiscernible] referenced is around -32, compared to the -40. And again, as we mentioned, you need to consider, the first quarter was below this figure. Now, we are trending in the -30%, more or less in PBS. Let's see how things evolve in the future to see if we come beat this -32%. I mean, things look positive, but I still mention they're some certainty to how the current economic environment may impact the recovery. With regards to the hospitality, of course, we keep investing in our CRS and BMS.  We hope to be able to regain additional customers. We have good opportunities and a good pipeline. Very difficult to really talk more about that. We have already explained to you that we feel the opportunities there. And the potential is their and hopefully, we should be able to really get more customers into our platform. And you also asked about Marriott. So far so good. I mean, look, we have a plan, we have in the waiting in detail with them. the scope of the project, and the timing of the project. For the time being, the collaboration between both companies is strong and the project is moving ahead as planned.
Operator: Thank you. The next question comes from Sven Merkt from Barclays. Please go ahead.
Sven Merkt: Great. Good afternoon and thank you for taking my questions. Could you maybe speak a bit more about inflation and how this is impacting the business? Maybe on the pricing side, what proportion of your contracts allow you to increase prices for inflation? And what kind of price increases should we expect in the current environment? We would also be interested to hear if you're holding back any price increases that you could theoretically push through to support your customers in their recovery. And then on the cost side, what kind of wage inflation are you seeing? And are there any measures you can take to kind of mitigate maybe some of the cost pressure there? Thank you.
Till Streichert: On the inflation side, Inflation impacts our revenue line and we have got various clauses and that are basically inflation linked. And through those clauses, we can pass on part of the inflation that we see. So you would see obviously in a positive impact from that. On our cost of revenue. We do not have set, so our main lines incentives and they don't have inflationary clauses included. I mean on the P&L fixed costs, we've covered that before. Here we are obviously assessing the situation on a country-by-country basis in order to be competitive from a salary point of view. And again, some markets have got high inflation rates. For example, like India. Other markets have got lower inflation inflation rate, but you can assume that we are trying to be always competitive from a salary or from a wage inflation point of view. And this, this is obviously representing the largest part of our cost lines.
Sven Merkt: Okay. Thank you. That's very clear. Just maybe one follow up, just in the capital allocation plans. And given that you're now recovering. How do you well prioritize these stocks with dividend versus deleveraging and M&A, maybe other uses of capital.
Till Streichert: So we're obviously on a good trek in terms of profit generation for this year, that's the first point, and that's different to last year, where we obviously had not achieved a positive profit yet. This puts us in a position where of course, we can start considering and thinking about the dividend or -- a dividend. And we would of course, like to return back to sale the remuneration respectively value creation in that regard. But of course, it's equally true that we would like to perhaps deleverage further before we immediately come back to a dividend payment. But again, these things are [Indiscernible] can't say, it's a little early to say. Let us first have all objectives achieved for this year and then we can discuss that question and we will also inform your accordingly.
Sven Merkt: Okay. Great. Thank you very much.
Operator: Thank you. Your next question comes from Neil Steer from Redburn. Please go ahead.
Neil Steer: Hi, thanks very much for taking the question, just got a couple of quick ones if I may. The first one is; I appreciate the figures obviously, you'll making market share gains [Indiscernible] in distribution. Clearly North America and Expedia Wholesale deal is part of that, but could you give us a little bit of color on where outside North of America you think you are improving market share? Is there one or two particularly regions? Thanks.
Luis Maroto: We had already mentioned to you the [Indiscernible] up to it off some of the customers where we can announce such ATPI, which is outside of North America. This is happening in general, well across-the-board, I will say, so we're having good traction. Yes, by all means Expedia is the biggest generation but even excluding Expedia I'm not considering mix effects, I mean, as I mentioned which are always a bit tricky. How do we consider that? We are getting good traction in many parts of the world. I will say is quite across the board. You may have in some specific markets, of course, it's not that we have loosing any customer. But overall, [Indiscernible] [Indiscernible], as I mentioned excluding Expedia we keep markets at gains, so it's being overall, a positive year.
Neil Steer: OKay. Thank you. And two of you were very precise, I could say, with your guidance on what you expect for the average GBS fee this year. You kind of implied that 2019 level plus or minus what you saw in Q1, I think. There possibly minus for two things were they all about. Could you give us a little bit more position and guidance on that sort of expected with blended PBC. Is that possible?
Till Streichert: Remember, at the moment we're still in an environment were our PBC is elevated due to the higher share of the non-transaction based elements in it. It had stopped at to trend downwards as expected. I still expect that from here where we are now, that it continues to trend downwards. But look, I mean seeing it's for the quarters, again we are still above -- well above 2019 levels as we're now -- we're enjoying that benefit obviously. But again, if you just think of it, think of it that the expectation is that we see volume increase and recovery every quarter, there should be a bit of a step-down.
Neil Steer: Okay. Thanks. And just one final question if I may. Obviously before the pandemic, we saw a flurry of airline move away from the traditional cooler content deals. Some wishing to move to the general distribution arrangements and implement surcharging strategies and so forth. As we come out from the pandemic and we find confident deal to their line. Is that for the trend to sit so we now move in gradually away from the full of content deals or have we have exited that flurry of with migration towards the general distribution arrangements. Thank you.
Luis Maroto: Well, it's difficult to really give you a complete answer There maybe some of lessons still there, but of course, it's our role to convince them about the capability of our platform and the distribution options and benefits of the indirect channel. So I would say in general terms, yes. But again, that will be still some outlines that are keeping that logic as it happening in 2019.
Neil Steer: Okay. Thanks very much. And congrats on a great call. But thank you.
Luis Maroto: Thanks, Neil.
Operator: Thank you. The next question comes from Michael Briest from UBS. Please go ahead.
Michael Briest: Yes. Thank you. Good afternoon. A couple for me. Just until on that €50 million sort of government grant. Was that embedded in your guidance when you gave it at the start of the year? So is the 10% to 14% increase assuming that that €50 million comes in, or are you going to treat it as an exceptional item if you like and sort of add it back? And then on the inflation side; you mentioned the incentive fees aren't index-linked. Presumably it's true then as the GDS revenue related to that, and can you say on the Air IT side, to what extent indexation is embedded in any of the deals you have there? Because I'd imagine particularly with the industry coming out of a crisis. Airlines are going to be quite resistant to any recovery. And just a tiny little add-on; on Asia, it's still very weak. Can you give any sense of is this caused by the Chinese lockdowns or how much better things trended in April, perhaps?
Till Streichert: On the first question, in terms of the $50 million, that in fact, is an exceptional and one-off item and it was not included in our cost guidance. So technically speaking, if you would now put us into this guidance range would obviously be lower. Okay? But again, it's a one-off and it is a Q2 event and you will see it as well as their disclosed. And we just wanted to mention it to give you advance notice of basically the expectation of our cost and EBITDA for the second quarter. On the second question in terms of incentive, incentive fees or inflation, you have in both, also in distribution and in AIT closest that allow us to pass on inflation automatically. We have elements where we are negotiating as well. These closets, it's too there also certain caps and certain ratios involved. But you have in both distribution and AIT Zoe's inflationary increases coming through.
Luis Maroto: Yeah with regards to Asia, you are right. Asia has been the latest region in terms of recovery and we have an imbalance performance there. As you you know, China itself is not the impacting us, due to the fact that we are not operating in China, but of course, it may have an impacting in some international traffic in the rest of the region, an indirect impact there. When we talk about Asia today, we have seen a strong recovery in some markets. Let's say, Australia, New Zealand, India have recovered strongly, and still some way to go for some countries such as Korea, or especially Japan, where do you know we are a strong player and still they are having high restrictions in terms of travel, specially for international visitors. So hopefully they will keep coming back and this sort of improve our global performance. But again, let's see how things evolve in the future, but overall positive performance in Asia with some countries lugging behind.
Michael Briest: Thank you.
Operator: Thank you. The next question comes from Victor Cheng from Bank of America. Please go ahead.
Victor Cheng: Hi. Thanks for taking my questions. A couple if I may. First one, I appreciate -- Adam has asked about it already on market share, but can you comment maybe which region that you think has been the weakest potentially and [Indiscernible] potentially to grow more. And then secondly, thinking about revenue per bookings and the medium-term where volume and mixes -- and volume when mix normalizes. Should we expect the revenue per booking to trend to pre -COVID levels, given dilution from Expedia when arguably different dynamics in distribution versus pre -COVID. And lastly, given the number of PSS wins that you announced this quarter, has the appetite for IT spend changed in the last [Indiscernible] recovers?
Luis Maroto: Okay, let me come back. Again, I already mentioned all of the markets sale. I mean, look, our goal is to increase our sales. I mentioned already that yes, you see in the figures, that the strongest performance was in North America and the potential is everywhere. Of course, the bigger you are in one market. Sometimes seems more difficult even though when you have high market sales, and when you have some some traction and [Indiscernible] in the market, but overall, I mean, our goal is not to focus on a specific part of the world, but try to keep growing everywhere. So the potential in our view is not the specific, the one specific market or region. Of course, in the U.S., we have kept increases during the years, which we are pleased of that. But again, there is no specific focus on one market, but overall, in each single market, we should try to really keep it growing. The second question, you take it?
Till Streichert: I would reiterate on the revenue per booking, what I said before in terms of trend. So I would expect that we see that the move ourselves, some kind of to the 2019 levels plus and obviously what you thought through the inflation or what you're seeing, or what expect for the inflationary increases in the last two years that happened. And of course, the remainder of it is basically commercial negotiations, et cetera, et cetera. So without being -- without implicitly commenting on Expedia, I would reiterate the expectation in terms of trend of revenue per booking going back to 2019 levels and from they behave similarly to what we've seen before.
Luis Maroto: EBITDA for IT, the answer is, yes. Overall, we all feel that IT is important for all the industries, including our industry as we try to optimize, and try to really sell better and the relationship with our customers. So all the customers are looking for ways to really improve their performance. And we are in a good position to provide with the software, that is needed and the solutions for them to really address their needs. Of course, when you are in the middle of the crisis, some airlines have reduce because of they need to really adjust that and hopefully, as the volumes recover and as the financial situation of our customers improve, well, they would be keen to really keep investing. Even though during the pandemic we have also seen the opportunities of some customers to really take and do some investments in automating and improving and accelerating their digital capabilities. So I would say opportunity is there and hopefully we will be able to really provide our technology to them.
Victor Cheng: Got it. Thank you.
Operator: Thank you. To next question comes from Fernando Abril (ph) from Atlantra. Please go ahead.
Fernando Abril: Hello. Good morning. Thank you for taking my questions. I have a couple please. First, so with regards to the bookings and PB's evolution in April, I would like to better understand the performance on a region by region. I mean that you've mentioned that package is still lagging behind, but Australia, New Zealand and some of the countries are now recovering. Strongly, I would like to better understand which region is the main driver for the strong trading optic. And second question is with regards the [Indiscernible] business. So I don't know if you can give us an update with revenues performance in April just as you're mention in PB's in bookings it would be very helpful compared to 2019. And also, considering the evolution of this business. I don't know if you are -- you think that the [Indiscernible] business could reach pre -pandemic revenues by the end of the year.
Luis Maroto: Let me start with the last one, and then Till if you can take the first one. We're not providing hospitality because as you know we are not having an specific KPI, as we do with these two businesses that mainly is giving us the same information about that, because not everything is linked to one specific KPI with good deals, where you have seen the figures in terms revenue, so this as a business up overall has been more resilient, the prospects are positive about the occupancy rates. And also in April, they have been positive and evolving in a positive way. Similar to what is happening in the rest of the industry. And I have provided you with some information we have, some data that in terms of summer, is in some areas, and mainly you need to consider our high weight in the U.S. in this part of the business. So is looking positive. That's what we see in hospitality, the same we have seen with the rest of the business.
Till Streichert: In terms of market shares and regions, just at a high level, we have seen that Asia-Pacific actually ahead with leading the step up in April further March, so that for strong followed by Western Europe, which also has moved further ahead. We have some regions that performed consistently, and that is more or less related to Ramadan seasonality and Middle East Africa. We had a bit of step back, but overall, if you look at it on a global level, we obviously have seen, again, an improvement month on month from March into April.
Fernando Abril: Okay. Okay. Thank you very much.
Operator: Thank you. There are no further questions in the conference call. I now give back the word to Mr. Luis Maroto. might add the first final remarks.
Luis Maroto: Thanks a lot for attending the call and for your questions, and looking forward for the second quarter results for the end of July. Thanks a lot.